Operator: Good day ladies and gentlemen, and welcome to the second quarter 2010 interface earnings conference call. My name is Stacy and I’ll be your conference moderator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the presentation over to your host Eric Boyriven of FD.
Eric Boyriven: Thank you, operator. Good afternoon and welcome to Interface’s conference call regarding second quarter 2010 results. Joining us from the company are Dan Hendrix, President and Chief Executive Officer; and Patrick Lynch, Senior Vice President and Chief Financial Officer. Dan will review highlights from the quarter as well as Interface’s business outlook. Patrick will then review the company’s key performance metrics and financial results. We will then open the call for Q&A. If you have not yet received a copy of the results release which was issued after the close of market today, please call FD at 212-850-5600 or you can get a copy off the Investor Relations section of Interface’s website. An archive version of this conference call will also be available through that website. Before we begin the formal remarks, please note that during today’s conference call management's comments regarding Interface’s business which are not historical information are forward-looking statements. Forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from any such statements including risks and uncertainties associated with the economic conditions in the commercial interiors industry as well as risks and uncertainties discussed under the heading Risk Factors in Item 1A of the company’s annual report on Form 10-K for the fiscal year ended January 3, 2010, which has been filed with the Securities and Exchange Commission. We direct all listeners to that document. Any such forward looking statements are made pursuant to the Private Securities Litigation Reform Act of 1995. The company assumes no responsibility to update or revise forward-looking statements during this call and cautions listeners not to place undue reliance on any such forward looking statements. Management's remarks during this call refer to certain non-GAAP measures, a reconciliation of these non-GAAP measures to the most comparable GAAP measures are contained in the company’s results released and Form 8-K filed with the SEC today, each of which can be found on the Investor Relations portion of the company’s website www.interfaceglobal.com Lastly, please note that this call is being recorded and broadcasted for Interface. It contains copyrighted material that may not be rerecorded or rebroadcast without Interface’s expressed permission. Your participation on the call confirms your consent to the company’s taping and broadcasting of it. With these formalities out of the way, I’d like to turn the call over to Dan Hendrix. Dan, please go ahead.
Dan Hendrix: Thank you and good afternoon to everyone. We are very pleased with our second quarter results. We were able to build upon the improvements we began to see in the first quarter, generating solid year-over-year growth in sales, orders, margins and earnings. Our sales increase in the second quarter was due to largely to the ongoing recovery of the corporate office market globally. This improve within our corporate office segment is being driven by release of pent-up demand with a focus on office refurbishment, which we believe is resulting from tenant turnover as new tenants look to update their interiors. We also continue to experience a positive sales impact in the investments we made in our in-market diversification strategy as non-office segments such as retail, institutional and hospitality improved compared with last year and emerging markets made a nice sales contribution in the quarter. The revenue growth drove our second quarter gross margin expansion both year-over-year and sequentially and the combination of entry sales enhanced manufacturing efficiencies and cost reduction initiatives led to a significant improvement in operating income. Looking regionally, our Asia Pacific division once again delivered excellent results with sales and profitability up impressively year-over-year. Australia which is now our third largest market was the key driver of strength in the region with continued significant improvements across all segments. China also grew rapidly. As previously discussed, we are building a new carpet tile manufacturing plant in China to capitalize on the opportunities we see in that market. And after a few construction delays, we are on track to begin production at this facility in the fourth quarter. Our Americas moderate business had another solid performance with a third straight quarter of year-over-year sales improvement. The corporate office segment led the game with strengthening demand from financial services sector followed by the technology sector and then energy and utility sector. Non-office segments also performed well in the Americas, particularly government hospitality and retail. Moving on to Europe. We are now beginning to see some very welcome improvement. Despite relatively even sales compared with the prior year period, second quarter profitability increased as a result of greater manufacturing efficiencies in our cost control initiatives. Most encouraging about Europe is that orders climbed 20% in local currency during the quarter, setting up for a second good half. Emerging markets, particularly China, Latin America, India, Africa, the Middle East and Russia also contributed to an improved quarter. At Bentley Prince Street, the demand for high-end broadloom remains very challenging but the actions that we have taken to adjust product mix, reduce inventories, control cost and increase efficiencies resulted in more narrow loss from this business during the second quarter, and June was a profitable month. Going down a bit more, Bentley Prince Street’s business is now 35% carpet tile and growing, while the broadloom side of business has continued decline in line with a broader industry. Our FLOR residential consumer business continues to deliver encouraging results with double-digit sales growth driven by the web and catalog channel. Our FLOR store in Chicago is still exceeding our expectations and we just completed the site selections for two new FLOR stores. We ramped up our sales and marketing investments at FLOR which swung into a loss position for the quarter but we expect to see a further pick up in sales and profitability later this year. Entering the second half of the year the sector shift to our [conference hall] is continuing and we are optimistic about the opportunities that lay ahead. That being said, we are still operating in an uncertain environment and we continue to be diligent, performances generally improving across all business. The second quarter orders up 16% year-over-year to $257 million, our sales pipeline continues to firm and we are hearing positive feedback from our sales force. In addition, as result of our efforts to lower our cost structure, we should continue realized the leverage on our business model as demand grows. In the first few weeks of the third quarter sales and orders had continued to be very encouraging. Overall, we feel a well positioned to execute against our strategic objectives in the back half of the year. And continue leading in carpet tile category over the long term. With that I’ll turn it over for Patrick.
Patrick Lynch: Thank you, good afternoon, everyone, and I’ll take a few minutes to talk to the financial highlights from the second quarter. Sales for the second quarter of 2010 were at $226.6 million, compared with sales of $211.3 million in the second quarter of 2009, an increase of 7.2%. Currency was essentially neutral year-over-year as the weakness in the euro was offset by strengthening of the few other currencies. As Dan mentioned, our sales performance was driven by the improved demand in the corporate office sector as well as the retail, institutional and hospitality sectors globally. Gross profit margin was 35.4%, compared with 32.7% in the second quarter of 2009, reflecting the benefits of our restructuring initiative that increased absorption of fixed manufacturing cost dealing increased volume. SG&A expense in the second quarter of 2010 increased to $58.7 million from $52.3 million last year, an increase to the percentage of sales to 25.9% compared with 24.7% a year ago. The increase in SG&A reflects ongoing investments in our end-market diversification strategy. Our operating income performance continued to demonstrate the leverage in our business model, on a 7.2% increase in sales. Operating income in the second quarter of 2010 improved by over 27% to $21.5 million, compared with adjusted operating income of 16.8 million in the second quarter of 2009. Operating income in the second quarter of 2009 was adjusted to exclude income of $5.9 million related to patent litigation settlement as well as a $1.9 billion restructuring charge. As a percentage of sales, 2010 second quarter operating income was 9.5% compared with an adjusted 8% in the second quarter of 2009. Including all one-time items, second quarter 2009 operating income was $20.9 million or 9.9% of sales. Interest expense in the second quarter of 2010 was $8.1 million, compared with $7.7 million in the second quarter of 2009 and down from $8.8 million in the first quarter of 2010. As anticipated during the second quarter, we began realizing interest expense savings annually as a result of our recent debt reduction initiatives. We remain focused on debt reduction in the second half of the year. Net income attributable to Interface Inc. for 2010 second quarter was $7.6 million or $0.12 per diluted share. This compares with adjusted net income attributable to Interface Inc. of $5.1 million or $0.8 per share in the second quarter of 2009, which was adjusted to exclude the items I mentioned earlier and a $6.1 million pre-tax charge related to the retirement of our 10 and HHH bonds during that period. Inclusive of all those items, net income attributable to Interface Inc. in the 2009 second quarter was $3.7 million or $0.6 per diluted share. Depreciation and amortization was $6.8 million in the second quarter of 2010 compared with $5.8 million in the second quarter of 2009. Capital expenditures in the second quarter of 2010 were $8.5 million compared with $1.8 million in the second quarter of 2009. For the full year 2010, we continue to expect capital expenditures to range from $25 million to $30 million. Now I’ll take a few minutes to review some of the details of our individual business segments. Our Modular Carpet segment continued its strong performance in the 2010 quarter. Sales in this segment were $202.7 million, up 8.6% from $186.6 million in the second quarter of 2009. Operating income for the Modular Carpet segment in 2010 second quarter was $25.4 million or 12.5% of sales, compared with $17.5 million or 9.4% of sales in the second quarter of 2009. The 2009 second quarter figures included restructuring charges of $1.6 million or 1% of sales. Turning to Bentley Prince Street, the progress we made in streamlining the segments underlining manufacturing operations since the year ago period has been significant. But low demand for the high-end problem continues to impact sales for the segment. Sales were $23.9 million in the second quarter of 2010, down 3.2% from $24.7 million in the second quarter of 2009. However the operating profits at Bentley Prince Street improved to $1.1 million in the second quarter of this year compared with an operating loss of $2 million in the year ago period, which included a restructuring charge of $0.3 million. Turning now to the balance sheet, we exit the quarter with $73.2 million in cash compared with $89.9 million at the end of the second quarter of 2009 and $71.4 million at the end of the first quarter of 2010. Inventories were $121.9 million at the end of the second quarter of 2010 compared with $122.9 million at the end of the second quarter 2009. Average DSOs during the second quarter were 52 days compared with 50 days in the year ago period. And inventory turns in the second quarter improved to 4.9 compared to 4.6 turns in the second in the second quarter of 2009. We’ve continued to balance our focus on reducing our fixed cost base with selective reinvestments in the business. Going forward, our priorities for investment are the successful startup of our China manufacturing plant and our sales and marketing initiatives to further expand our segmentation strategy in Europe and North America. Debt reduction will also be a continued to be a focus. Our restructuring actions have yielded a stronger and more profitable operating platform, and as a result we feel well positioned to capitalize on new opportunities ahead. Now I will turn the call over to the operator for your questions. Operator?
Operator: (Operator Instructions). Your first question comes from the line of Keith Hughes with SunTrust
Keith Hughes - SunTrust: Just a couple of questions. The orders were fantastic particularly in Europe. Can you give us any sort of color around that of its financial issues not affecting you, what such, why end user markets are up so much, anything along those ones?
Dan Hendrix: I would say that office market in Europe is particularly Germany and the UK. They are starting to bounce back. Germany from an economic standpoint has done very well and that’s our third biggest market in Europe. And as we go to the UK, the financial services segment there is rebounding significantly and that is not really in the office base in London. So we are getting a rebound pretty much for the corporate office group and then we are winning in France, she was okay too, which is our second biggest market. I would say it is combination of two things, Keith, one is that the office piece is starting to rebound and are non-office strategy is paying dividend as we penetrate government and education and healthcare there. And I think we are also taking share. The market wasn’t at 20% at where we were.
Keith Hughes - SunTrust: And what were the orders in Asia Pacific and US?
Dan Hendrix: Its part of being up.
Keith Hughes - SunTrust: Yes, how much will they?
Dan Hendrix: They read and give that out. We just get Europe because we thought people are looking for Europe to make a turn, while its markets were up double-digit.
Keith Hughes - SunTrust: And final question for Patrick, the corporate expense income, an elimination number a little higher than usual, anything unusual on that?
Patrick Lynch: Nothing in particular, I think it’s fairly level with Q1. I don’t know it’s nothing unusual.
Keith Hughes - SunTrust: Is there anywhere to model that number little more précising in the future as a metric to use or just kind of bounce around all the time?
Patrick Lynch: Yes, it’s going to bounce around from $1 million to $2-$2.5 million kind of in that range. I’d say this is kind of the high watermark for it.
Operator: Your next question comes from the line of David MacGregor with Longbow Research. Please proceed.
David MacGregor - Longbow Research: I wonder if you could talk about couple of things for me. First of all, raw materials and the pass-through effectiveness in the quarter and the outlook for the second half, and then I guess you talked in past about share gains and I wonder if you could just elaborate maybe a little further on what you're seeing there?
Dan Hendrix: Well, it’s difficult to give a handle on share gains but if you look at the US market, the consensus is the commercial market was actually down 2% in the second quarter.
Patrick Lynch: And our business was obviously up nicely in the US. And when you go to Europe, I think we know that there is not 20% coming out of Europe. And then we had significant growth in Asia Pacific. So that's where the share games come from, just looking at the macro environment and trying to drill it down to our industry.
David MacGregor - Longbow Research: And within that US, you’re seeing commercial down 2% and you had a pretty good quarter. You talked about end markets, so are there certain product kind of, within the broader scheme of modular tile? Are there certain product years or segments of the market?
Dan Hendrix: Yes, I would say that the biggest difference in the US market for us is that we’re seeing the corporate office piece bounce back pretty strongly and I alluded to on the call that financial services group, there’s a lot of pent-up demand in that group because they didn’t really do a lot during the credit crisis and we are starting to see the banks and the insurance companies and so forth start to invest in their offices again. And then if you go back to the, if you go to technologies segment, we’re positioned very well with the technology players. They’re making a lot of investments in their offices, actually globally. We’re doing a lot of multinational accounts with them. To me the biggest change in the US is the office market continues to gain momentum.
David MacGregor - Longbow Research: And where within the mix are you seeing the strength, is it more the upper end of the mix, the lower end, the opening price points?
Dan Hendrix: I would say that we are seeing it across the board. We're pretty much the price leader out there, if you’re not talking about a niche player, and we’re seeing it across the board.
David MacGregor - Longbow Research: Okay. Then finally just, I know from the standpoint of seasonality, this is typically a pretty good quarter for the education market. Did it come through as planned?
Dan Hendrix: Education market was flat for us and I think that’s indicative of what's going on in the funding side of the equation. But I think we did very well on it. It just was flattish for us.
David MacGregor - Longbow Research: Is there timing issue? Do they figure more prominently in that order build up or is it just, as you say it's kind of a sign of the times on what's happening?
Dan Hendrix: I think it’s a sign of the times in education.
Operator: Your next question comes from the line of Eric Glover with Canaccord Adams. Please Proceed.
Eric Glover - Canaccord Adams : Just wondering if you can go back to that share gain issue for a second. Is the share gains mainly coming from the shift toward Modular Tile or you think you're actually taking share?
Dan Hendrix: I think we are actually taking share of that space, but there is some of the cycle shift as well.
Eric Glover - Canaccord Adams : And then I was wondering if you could talk a bit about how customer's preference, I should say growing preference for green products is influencing their divisions to go within the face products?
Dan Hendrix: I would say that our position of the stand there obviously keeps us in good stead with the advocates that care, and I would say that no more companies care about what’s going on with the environment in their position of sustainability and what’s going on with lead. We are considered the leader in the sustainability movement and I think we are winning business because of that. Every product we introduced at NeoCon had first consumer recycle phase going on it. And so we are doing very well with our story around sustainability and winning business. There is a growing concern about the environment as well. The (inaudible) was our theme with NeoCon. I think that played very well.
Operator: Your next question comes from the line of John Baugh with Stifel Nicolaus. Please proceed.
John Baugh - Stifel Nicolaus: Will we get more education business to shift in the third quarter? Will the schools just be late in letting go some of these budgets or will you be flat or negative in education?
Dan Hendrix: I think we have a chance to really flat up in the third quarter, but you got a good point. There was a lot of lightness in people letting go of the budget, so it's very true. I think we are going to benefit from that in the third quarter. Lot of projects was delayed but some of them came through.
John Baugh - Stifel Nicolaus: It did. Europe I think has Middle East and other parts that are Western Europe are those boosting this 20% number or is it true Western Europe, it’s also up 20?
Patrick Lynch: It was true Western Europe, it was across the board.
John Baugh - Stifel Nicolaus: Leave it to the analysts to find something negative in a great quarter. But, the SG&A numbers and you referenced I know in the comments FLOR marketing. What other types of things are you dealing? You mentioned they all relate to diversifying in the segmentation but could you just give more color around it and then some guidance where that percentage falls out over the next few quarters, year or two, whatever?
Dan Hendrix: We've been talking about that thing in the consumer business and we increase that budget over $3 million going into this year or the last year. The European business, we are investing in segmentation and we'd be having a lot of success with that, but obviously the SG&A part is going to be ahead of the sales increase. We are getting sales increase now. And we are also investing in Asia Pacific, and emerging markets has been a big investment for us. And I'd say we held investment down in 2009 pretty well and we are trying to invest in sales people. We're adding sales people in the US and in Asia Pacific, particularly Asia and China, but we tossed out East Asia and China. They reduce the opportunities that we're going to go out there and invest and grow. They were also having a delta of a couple of million dollars a quarter related to we are now paying bonuses. We didn’t pay bonuses last year. So that’s probably not a factor, it is much in the people' models as we impact this year; will be about $10 million increase in SG&A.
Patrick Lynch: But they were achieving bonuses now.
John Baugh - Stifel Nicolaus: So, Patrick where did all that shake out in terms of where SG&A gets modeled going forward 2010 and to 2011?
Dan Hendrix: I think, well, to me, we need to drive the percentage down. We are making investments the $58 million, $59 million level, and my hope is to keep that $60 million or less and at the top-line growth.
John Baugh - Stifel Nicolaus: I didn’t fall out of my chair but I certainly scrummed a little when I heard that [demonstrated] was profitable in June, was there some volume jump in June or were there some difference to the cost structure in June and how do we think about?
Dan Hendrix: We’ve done a lot of the heavy lifting in that business. We’ve rationalized the SKU, about 70% of them. We’ve raised prices on products to get the right margins in that business to May, a decision we are going to have the right margins. We're going to manufacture on the west coast and shift those products. And that’s coming through and then we had a pretty good volume come through in June, that’s five-week a month. I’d say that for a manufacturing efficiency standpoint, the team out there has done a great job in getting that model work, you get the sales increase, you get the leverage. And now it’s really about getting the sales increased and moving that business to more to carpet tile.
John Baugh - Stifel Nicolaus: Is that still a $25 million per quarter, roughly breakeven the situation?
Dan Hendrix: It’s right at $25 million to $26 million, yes. I think we get the $25 million and keep the manufacturing momentum we had in May and June that we're breakeven.
John Baugh - Stifel Nicolaus: And I know you did a restructuring in Q1 and particularly in Europe, and I assume that contributed to your margin expansion in Europe. But, your sales were flat you mentioned there. Was there something else besides head count reductions that drove that margin?
Dan Hendrix: We ran the plant very well. We’ve right sized that plant now. We’re getting better flow-through out of the manufacturing part of it.
John Baugh - Stifel Nicolaus: Okay. And I think that’s it. Thank you.
Dan Hendrix: There was one question I didn’t answer, the previous caller and that is raw material. We’ve had raw material price increases and the actual impact is about $10 million negative versus last year and we’ve been able to raise prices to offset that.
Operator: And your next question comes from the line of Matt McCall with BB&T Capital Markets. Please proceed.
Matt McCall - BB&T Capital Markets: I want to continue on that Dan. I think last quarter or I think I remember one of our conversations, we’ve talked about materials availability, raw materials availability with some of the, maybe the residential guys are seeing an improvement in their [deranged] trends. You felt like you saw prices go up, you were well offset that. But is the availability an issue?
Dan Hendrix: Yes it is. Our lead times have been stretched out a little bit because of availability from our supply standpoint. It probably cost us $4 million or $5 million in sales by not having the unavailability but I will tell you it's getting a lot better. We surprised our suppliers in how robust our business has been compared to where they were modeling it this year. So there’s been a bubble that’s been coming through the supply chain that we’ve had to deal with. But we’re getting on top of it and we’re seeing lead times starting to improve.
Matt McCall - BB&T Capital Markets: And then I think I heard you say that China was delayed a little bit or maybe I misunderstood if you were talking about a Q4 launch. Is it still on track? Are you worried a little bit and then what's the expectation from a volume perspective out of the gate? Thanks a lot.
Dan Hendrix: Well we were gearing up on the plant in September. We talked about third quarter will now open it up probably in late October? So that’s been the delay. It's just been some construction delays in getting the lines put together and operating and commissioning them. As we said a lot of times, we built the volumes and that plant starts up, they can run full shift immediately. We are taking about $500,000 a quarter in fixed costs associated with the start of that plant, so we are going to offset. We talked about a $3 million incremental [linkage] increased but it will expense $2 million to $2.5 million this year in fixed costs associated with our plant. But my expectations are that plant when it starts up, within two quarters we'll be profitable with that plant.
Matt McCall - BB&T Capital Markets: And then on the growth investments, did you quantify, did you invest more in the quarter? I think you said you invested more on FLOR and you lost money. I think last quarter you made money. Was there investment relative to Q1 and then what was the loss in FLOR?
Dan Hendrix: Yes, there were more investments in the way because all the marketing plans and so forth. We approved the budget in December. It took at least a quarter to get those all executed. We made a little bit of money in the first quarter and we lost about $1 million in the first quarter.
Matt McCall - BB&T Capital Markets: In second quarter?
Dan Hendrix: Yes.
Matt McCall - BB&T Capital Markets: And then finally any update on the Bravo relationship?
Dan Hendrix: Well, we're going to launch that, we've signed the deal and we're going to start shipping product in July and August. And we are very positive about the outcome of that about their relationship.
Matt McCall - BB&T Capital Markets: So no initial stocking orders at this point?
Dan Hendrix: Yes, we actually have one additional stocking order. We haven’t quantified it because its street but we have it, $2 million.
Matt McCall - BB&T Capital Markets: It was in Q2?
Dan Hendrix: In Q2, right.
Operator: (Operator Instructions) Your next question comes from the line of Glen Wortman with Sidoti & Company
Glen Wortman - Sidoti & Company: On the orders, you know very impressive growth there during the second quarter. As we moved into July did things slow down at all?
Patrick Lynch: Actually July looks very, very good. Almost three weeks came out of the gate pretty strong.
Glen Wortman - Sidoti & Company: With respect to the raw material cost, looking at 3Q versus 2Q, do you expect your average cost to be higher in the third quarter?
Dan Hendrix: I think it will be comparable to the second quarter. We're fighting some raw material price increases but we got suppliers that are not supplying us and so we are in debate about that.
Patrick Lynch: I hope it will be comparable in the second quarter.
Glen Wortman - Sidoti & Company: And then on China, can you just remind us what your long-term sales goals are there for that region?
Dan Hendrix: Well I think that region is going to be one of the largest carpet tile markets in the world and we build a model that said we could grow that business 20% a year compounded.
Operator: Your next question comes from the line of Carl Reichardt with Well Fargo Securities.
Carl Reichardt - Well Fargo Securities: The multi-national account thing was interesting to me. Did you talked a little bit, let’s say two years ago where you were in terms of penetration with multinational type of accounts? Did that grow in a lot in the last two years and is it incrementally adding sales?
Dan Hendrix: It is growing, companies really started to pay attention to their global footprint. Lot of companies are trying to reduce their global footprint by intensity. And we talk about global accounts and where we can service them around the world. We obviously have a very great service model and the fact we manufacture on four continents and we got around sales people in those market. And we get their attention when start talking about a global contract. And we do very well in that space and we are expanding that all global. We call it global accounts business. We had a very good second quarter in global accounts.
Carl Reichardt - Well Fargo Securities: In adding sales to a global account is incrementally less expensive than acquiring a new customer I would assume?
Dan Hendrix: Yes, you are right.
Operator: And at this time, I’d like to turn the call back over to management for closing remarks.
Dan Hendrix: Well, thank you to listen to our call and hopefully we’ll have a great third quarter. Thank you.
Operator: We thank you for your participation in today’s conference. This does conclude your presentation. You may now disconnect and have a great day.